Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Greetings and welcome to Similarweb Quarter Four Fiscal 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. 00:28 I would now like to turn the conference over to your host, Annie Rosenberg. Thank you, and over to you, ma'am.
Annie Rosenberg: 00:37 Thank you, operator. During this call, we will make forward-looking statements related to our business, including statements related to the expected performance of our business, future financial results, strategy, the potential impacts of the COVID-19 pandemic and associated global economic uncertainty, long-term growth and overall future prospects. These statements are subject to known and unknown risks, uncertainties and assumptions that could cause actual results to differ materially from those projected or implied during the call. 01:07 Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and reported results should not be considered as an indication of future performance. Please review our filings with the SEC, including our final prospectus and the section entitled Risk Factors therein filed with the SEC on May 12, 2021, for a discussion of the factors that could cause our results to differ. Also, note that forward-looking statements on this call are based on information available as of today's date. We disclaim any obligation to update any forward-looking statements except as required by law. 1:46 As a reminder, certain financial measures we use in this presentation and on our call, today are expressed on a non-GAAP basis. We use these non-GAAP financial measures internally to facilitate analysis of our financial and business trends and for internal planning and forecasting purposes. We believe these non-GAAP financial measures when taken collectively may be helpful to investors, because they provide consistency and comparability with past financial performance by excluding certain items that may not be indicative of our business, results of operations or outlook. 02:19 However, non-GAAP financial measures have limitations as an analytical tool and are presented for supplemental informational purposes only. They should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. A reconciliation between these GAAP and non-GAAP financial measures is included in our earnings press release, which can be found on our Investor Relations website at ir.similarweb.com. 02:46 With that, I will turn the call over to Or Offer, CEO of Similarweb.
Or Offer: 02:52 Thank you, Annie and thank you all for joining us here today for our Q4 2021 earning call. It's great to be here with all of us this morning. We finished off a very strong 2021 with excellent performance in Q4. GAAP revenue grew 51% year-over-year to $40.2 million, exceeding our guidance for the quarter. I am very proud of our team for continuing to execute well and accelerating our growth. During today's call, our CFO, Jason and I will provide more details around our Q4 and 2021 results and provide Q1 and full-year guidance for 2022. 03:41 So, let's discuss the results. In many ways 2021 was a game changing year for us. Most importantly, our growth trajectory has changed. In 2021, our total revenue grew by 47% to $137.7 million, that represents an increase of 15% point (ph) of growth over the last year that was 32%. We ended this year with $165 million in ARR concluding our third straight year of accelerating ARR growth. 04:16 As we move into 2022 (ph), we are seeing very strong tailwind for the business and increasing term and rapidly expanding demand for our solution. In light of those favorable condition, we will continue to invest across the business in order to further nourish and grow our customer base as well as strengthening our product portfolio and data assets. 04:44 The strength of our customer base has also improved. In 2021, our most significant growth came from our largest and most strategic customer segments, those companies that generate more than $100,000 in ARR. We grew the total number of those customers by 45% and together they now represent more than 51% of our total ARR. Overall, we more than doubled our rate of new customer acquisition versus 2020. 05:17 We continue to see our customer growth being driven from a diverse set of industries. In 2021, the new logos we added including amazing global brands like Fiat Chrysler, Intel, 3M, Mondelez, DoorDash, Tesco, CVS Health and many more. Our customers are more engaged with our solution and more committed to them than ever before. 05:45 33% of our ARR is generated from our customers signed to multi-year contract, this is an 8% point increase from the 25% of ARR last year, and even more significantly, we have increased our customer total lifetime value with the NRR hitting an all-time high. We closed Q4 with overall NRR at 113% and 125% for the critical $100,000 ARR customer segment. Both at 12% point improvement overall Q4 2020 numbers. 06:31 I want to pause here for a second to reflect on what I see as the most important market driver for our business growth. We believe that today the number one mission from every CEO and business leader is to drive growth. And the biggest growth opportunities come from the digital world, a place without borders where it's possible to almost instantly reach and sell to audience at a global scale. 07:00 In this world where growth potential is almost unlimited, data is king. We'll see and capture the growth opportunities. Every company is looking for better market data. They need a complete picture of what's happening in the markets to ensure the most strategic growth questions like how do I grow my demand? How do I grow my product portfolio? How do I grow my market share? How do I grow my audience, and how do I grow my sales? This is what Similarweb does. 07:32 We give companies visibility they don't have and insight that guides them to what to do next in order to grow. We believe our proprietary data and growth insight give our customer an advantage in their markets. So, we believe the value we deliver is outstanding and that every company that wants to compete and win in the digital world need us. And that this is why we see a huge term and potential for high growth for many years to come. 08:06 In 2021 to accelerate our own growth rate, we expanded and improved our product portfolio. In Q2, we launched our Shopper Intelligence Solution and by Q3, we already signed our first-seven figure deal to this product. Shopper Intelligence is a highly differentiated solution that gives our customer an amazing insight into consumer behavior within online marketplaces. 08:34 In Q4, we expanded this offering significantly, improving our marketplace insights average by adding Walmart, Target, Best Buy, and Chewy on top of our existing support for Amazon insights. Our goal is to become the market standard in this emerging space and to be an essential growth enabler for every CPG or retail company looking to do business in the online marketplaces. 08:59 Within our customer base alone, we identified over 700 companies that meet our target profile. So, the opportunity for this product is huge. We are continuing to add major enhancements to our other offerings as well. In Q4, we enhanced our sales intelligence solution by partnering with a leading data provider to add a contact database to our offering, that solution now brings together 400 million plus contacts with digital traffic and engagement insights and technographic data. We believe this combination of data and insight is ideal for sales organization while targeting digital first businesses, such as e-commerce, publishing, payment and digital advertising. 09:52 Now with just one Similarweb solution, sales representatives can identify qualified accounts, connect with the right decision makers and influencers and engage those prospects with a compelling pitch that leverages our proprietary digital insights. Finally, as you may have seen, I'm very excited about today's announcement of a new data licensing agreement with App Annie, a market leader in the mobile app insights. The agreement gives us access to an important set of App Annie mobile application data, which we will incorporate into our platform. We plan to launch a new offering based on the App Annie data and insight in Q2. 10:44 By bringing together our respective best-in-class data, we believe Similarweb will be able to deliver an even more accurate, more comprehensive view of the digital world, a powerful offering that will improve the insight and competitive advantage we create for our customers. And of course, this means that companies will be able to purchase industry leading web and mobile app data and insight from a single source. We believe this will be a very compelling proposition in our markets and a game changer for companies looking to take unified approach to optimizing their digital strategy across platforms. 11:32 In 2021, we also enhanced and expand our product offering by completing two acquisitions, SimilarTech and Embee Mobile. Both transactions demonstrate our ability to execute on smart acquisition opportunities and improve our customer value. SimilarTech technographic data is now used across the board in almost every Similarweb products, from our free offering to solutions like Sales Intelligence and Investor Intelligence as well as API and data feeds. 12:07 Embee Mobile, which was completed in Q4 was already being used to enhance our offering as well. For example, in Q4, we added a new feature to our Shopper Intelligence Solution called Shopper Demographics. This feature enables e-commerce companies to get to know their audience on a deeper level, so they can inform new product development and optimize buyer campaigns. 12:33 Going beyond basic identifiers like age and gender, this new analysis segment every category and brand on Amazon according to education level, household size, and income, and employment status. We believe it is a highly distinct feature in the market and it would not have been possible without data from Embee Mobile acquisition. 12:58 Finally, in 2021, we continue to invest in our people, aggressively scaling our organization to support our growth, we expanded geographically and adding new offices in Munich and Northern Virginia and we are working hard to build out our new Similarweb headquarter, which will be located in the Center of Tel Aviv metropolitan area. When it's completed, we believe it will be a significant attraction that will help us to continue to recruit top talent here in Israel. 13:31 To summarize, we believe that 2021 was a pivotal year and we are entering into 2022 with a great momentum, including a track record of accelerating growth and growing market opportunities ahead of us. Back in May, we successfully completed our IPO on the New York Stock Exchange. Since then, we have delivered three consistent quarters of strong revenue growth all-in-all for 45% year-over-year growth concluding this quarter with more than 50% year-over-year growth. 14:07 Our story has improved materially since our IPO across all of our business. We are continuing to add into improve our product portfolio and offering, both organically and inorganically expanding our TAM where we are rapidly increasing our product value and stickiness resulting in double-digit growth in our net revenue retention. We believe our combination of consistently strong growth and solid gross margin positions us as a small group of best-in-class SaaS businesses. 14:40 And most importantly, we are a leader in the large and high value market with a unique opportunity to become a critical growth driver for every company that wants to compete and win in the digital world. I'm excited about our progress and opportunity we have going forward. We delivered a strong Q4 capping-off a year of tremendous acceleration in our business. We are confident about our growth strategy and our ability to unlimitedly capture a large share of a very valuable market. 15:10 I will now turn the call over to our CFO, Jason to discuss more about our financial results and 2022 financial guidance. Jason?
Jason Schwartz: 15:21 Thank you, Or and good morning, everyone. I will now walk you through our fourth quarter financial results before introducing our guidance for the first quarter and full year 2022. Total revenue for the fourth quarter of 2021 was $40.2 million, reflecting record 51% year-over-year growth. This increase was driven both by an increase in our total number of customers, which rose by 28% in Q4 to 3,487, also a record high for us, as well as an increase of 18% in our average revenue per customer to nearly $48,000 in Q4. 16:05 For the full year 2021, total revenue was $137.7 million, reflecting 47% year-over-year growth. Dollar based net retention rate or NRR was 113% overall and was 125% for our greater than $100,000 ARR customer segment, an increase of 12 percentage points for each of those metrics compared to last year. As you know, substantially all of our revenue is annual recurring revenue or ARR with a minimum subscription term of one year, but we continue to increase the number of our customers who commit to multi-year subscriptions. 16:49 As of the end of Q4, 33% of our ARR is generated from customers with multi-year subscriptions, compared to 25% last year. This trend towards increasing contractual commitments along with our high NRR reaffirms the value our customers see in Similarweb and speaks to the increasing health and durability of our ARR. Please note that unless otherwise stated, all references to our expenses and operating results are on a non-GAAP basis and are reconciled to the GAAP results in the earnings press release that was issued earlier today. 17:32 Our gross profit totaled $30.2 million in the quarter, representing a gross margin of 75.1% versus 78.9% in Q4 2020. The decrease is primarily the result of the acquisition of Embee Mobile, which closed in Q4, whose fixed cost contributed to an increase in cost of revenue. Operating expenses grew to $48.5 million in Q4, up from $25.7 million in Q4 2020, largely reflecting the investment in personnel across the business to support our growth. 18:11 The specific components of our operating expenses were research and development $12.8 million versus $6.2 million in Q4 2020. This increase was driven primarily by growth in employee headcount, particularly among employees focused on our newer solutions such as Shopper Intelligence, Sales Intelligence and Investor Intelligence. As I discussed in Q3, we are already realizing revenue growth for these new solutions and believe that these investments will prove to be meaningful growth drivers in the future. 18:45 Sales and marketing was $26.6 million versus $15.4 million in Q4 2020, driven principally by increased investment in sales and account management headcount and marketing activities as we scale to build pipeline and support our plans for growth in 2022. 19:07 General and administrative, $9.1 million versus $4.2 million in Q4 2020, which includes $1.4 million of additional costs for the quarter that we now incur as a publicly traded company as well as additional employee headcount required to support our growing operations globally. As a result, our non-GAAP operating loss for the quarter totaled $18.4 million better than our guidance compared to $4.7 million in Q4 2020. For the full year, our non-GAAP operating loss totaled $51.7 million better than our guidance compared to $14.9 million in 2020. 19:54 Free cash flow for the quarter was negative $11.5 million, compared to negative $1.4 million in Q4 2020, primarily as the result of the investment in employee hiring to drive our growth. These investments continue to show their value in the acceleration of ARR, customer growth and higher NRR. 20:19 Turning to the balance sheet, we ended Q4 2021 with $128.9 million in cash and cash equivalents and no debt. We believe that our cash balance and our $75 million credit facility totaling $204 million of available funds provides us with more than enough liquidity to execute on our growth plans and to take us to positive cash flow, which we plan to reach in 2024. 20:51 Our deferred revenue increased 46% year-over-year to $78.8 million compared to $53.9 million at the end of Q4 2020. Our remaining performance obligations or RPO increased 60% year-over-year to $137.5 million compared to $85.7 million at the end of Q4 2020. We expect to recognize approximately 88% of total RPO as revenue over the next 12 months and we believe these metrics are a good indicator of the health of our business and our revenue streams. 21:33 As a result of our strong performance over the last three quarters since completing our IPO as well as the product innovation that we continue to deliver and the market opportunity that we see ahead of us, we are issuing strong guidance for Q1 and for the 2022 fiscal year. For the first quarter of 2022, we expect total revenue in the range of $41.1 million to $41.5 million representing 40% growth year-over-year at the midpoint. For the full year, we expect total revenue in the range of $193 million to $194 million representing 41% growth year-over-year at the midpoint. 22:18 Non-GAAP operating loss for the first quarter is expected to be in the range of $20.5 million to $20.9 million and for the full year between $83 million and $84 million. This is driven by the investments we are making to continue our strong growth, as well as the investments we are making to further expand our data modes through strategic moves such as the acquisitions of SimilarTech and Embee Mobile as well as the data licensing agreement with App Annie. This also includes negative impact due to foreign exchange movements, which we estimate at approximately $10 million of additional costs. 22:59 In light of our strong unit economics and efficient land and expand model, which are reflected in our strong NRR and in order to capitalize on our strong momentum and market opportunity, we expect to continue to make significant investments in the business through 2022 and 2023, as we execute on our plans to become cash flow positive on an ARR of between $450 million to $500 million in 2024. As I mentioned, we are in a strong cash position and believe that our available funds provide us with more than enough liquidity to execute on our growth plan until we reach positive cash flow. 23:43 To conclude, we've executed well since our IPO last year. Our business is performing extremely well across all of our major initiatives and our financial results and guidance indicate that we are heading into 2022 with strong momentum. 24:02 And with that, Or and I are happy to take your questions. Operator?
Operator: 24:08 Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question comes from the line of Brent Thill with Jefferies. Please go ahead.
Unidentified Participant: 24:56 Hi. This is John Gaunt (ph) for Brent. Thanks for the question. Just two questions, first on the aggressive investment plan for '22 that you are continuing. If you could go a little bit more detail as to where those things would be focused or prioritized across OpEx and other investment needs? And then in terms of the ARR 2024, I mean, that looks like a pretty big growth and just wondering how you're thinking about the bridge from last year's $165 million to that number in '24? Thank you.
Or Offer: 25:35 Thanks so much. Look, we are -- as we mentioned in the first part of the call, we're seeing a great opportunity ahead of us and the momentum that we're seeing in the business in terms of both unit economics and the revenue growth is pretty big. We see the demand coming in and you're seeing I think the guidance that we're giving for the upcoming year and we see that the opportunity that is ahead of us and the big TAM, and our market position is not going away.
Unidentified Participant: 26:18 Fair. Thank you.
Operator: 26:24 Thank you. The next question comes from the line of Bhavan Suri with William Blair. Please go ahead.
Arjun Bhatia: 26:33 Hi, Jason. Hi, Or. This is actually Arjun Bhatia on for Bhavan. Great quarter guys. If I can ask on the App Annie partnership, can you just give us a sense for how the data assets that you're getting through App Annie differ from Embee Mobile? Are these going to be complementary in the new offering that you're planning to introduce in Q2 here, or do they both end up feeding into that offering? Just help us understand the difference how the data differs between the two assets there?
Or Offer: 27:08 Hi. Of course, it's all here. So it's a great question. And first of all, there is difference between -- there is major difference between Embee mobile data to App Annie data. Embee data is based more on metered panel when you have a small sample of panel, but a lot of deep data about demographic and [indiscernible] one example that we discussed here and there means how we're using this data to enrich our shopper solution about what people are basically, the demographic of people of buyers online. And also Embee data is more different, where you can see, in app activity that it is a little bit different than the data that’s App Annie is presenting. So there is a major difference and different use case for all those assets.
Arjun Bhatia: 28:06 Perfect. Very helpful. And then I wanted to touch on large customer activity, it seems like the deal sizes are getting larger overall, and even amongst your largest customer deal sizes are getting larger. Can you maybe just give us a sense for where digital data and intelligence is on the investment priority list for enterprises today. And then I would love to understand this 2024 target that you put out where enterprise activity and large deals actually flow into -- how those flow into that, I think it's like a 40% to 45% CAGAR that you've implied in that 2024 target? Thank you.
Or Offer: 28:53 Yeah. I think that as our offering is growing and when we are improving our product, not only to access to the data, the insights we are pulling and our ability to train and teach our customers how to drive more ROI from the market data we provide, they seem ROI and then their willingness to pay go up. If you think about Similarweb for -- even for resource solution five years ago to compare to what we're giving them today, no [indiscernible] dramatically bigger. So we are presenting more deep and more advanced software that give more light to the customer, his ability to pay, and the willingness is go up, this is one element. 29:38 Second is our transition of the company to multi-offering solution. Historically, we will used to lend only with research solution, now we are coming to the enterprise, and we have a full suite of offering to them. We will end with the research and then we have a nice solution for the marketing organization to help them drive more growth, NOI, and then we have another offering for the sales organization that we go and help them drive more growth and et cetera. So, I think all those combination together that’s what you see in the increased -- and value per -- the increasing ACV and that that you see that is growing very nicely over the past few years.
Arjun Bhatia: 30:30 Okay. Thank you very much and congrats again on a great Q4.
Or Offer: 30:34 Thank you.
Operator: 30:37 Thank you. The next question comes from the line of Sterling Auty with JP Morgan. Please go ahead.
Maya Kilcullen: 30:49 Hi. This is Maya on for Sterling. And so looking at the 75% gross margins during the quarter, does most of that coming from the App Annie licensing deal and just how are you thinking about gross margins moving forward?
Or Offer: 31:08 Yeah. So I will answer part and if Jason would want, he can also join, but the App Annie deal will only go into now for in this Q1, so the gross margin you're seeing is for Q4 and it's mostly come from the acquisition of Embee. We did that we need to integrate there that operation about managing metered panel and the headcount involved. This acquisition was to strengthen our mode -- around our data modes and we are very bullish around that and we think all those moves that we are going to increase our data acquisition and building more modes about our uniqueness of our data is very, very strong, smart, strategic move and as the company grows down the road, the long-term model will bring the company to the 80% gross margin that we are targeting. But this is my thought around that. Jason, you want to add anything from your side?
Jason Schwartz: 32:07 Yeah. I think, like you said Or, the App Annie licensing agreement will only go into effect in 2022. And just as a reminder, most of the, the course that we have in our cost of revenue is our fixed costs and therefore, as we integrate Embee Mobile and then see the revenue that comes in, we get a lot of leverage out of those fixed costs, both on the data side as well as on the personnel.
Maya Kilcullen: 32:40 Okay. Great. And then just on, if I can add a follow-up. So between now and those fiscal '24 targets, do you see that 125% retention rate for the top bucket of customers as kind of a target retention rate between now and then?
Or Offer: 33:01 Of course not. We are only getting started is what I would like to say.
Maya Kilcullen: 33:07 Okay. Great.
Jason Schwartz: 33:08 I think like we are excited about the performance that we've had this year and the transformation that you've been seeing from 2020 into 2021 and we like the momentum and like Or said, there is a lot of, that's a lot of business to be done over the next couple of years.
Maya Kilcullen: 33:29 Great. Thank you.
Operator: 33:34 Thank you. The next question comes from the line of Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: 33:44 Hey, guys. Thanks. So, just on Embee because I think how much or how much we will all have that factored into our gross margin for the quarter. I guess how fast would you expect the gross margin to recover as you scale those costs. I mean, again, like by the end of this year would the gross margins be coming back to historical levels? And then, I guess on top of that, and maybe the answer is no, how are you thinking about the impact of App Annie this year on revenue, gross margins and EBITDA? And then I guess, I don't think you did, but maybe opine on the deal -- the deal laying the terms, why not buy them, anything you kind of want to share? Thanks.
Jason Schwartz: 34:35 Sure. So, let me, maybe I'll start with the financial questions that you had, I think exactly right, where we are expecting to see gross margins start going back towards the end of the year back to the same historical levels that you've seen and I think this is consistent with what we've done in the past. When you look back, let's come back to 2018, 2019 and 2020, you saw gross margin go from 54% to 71% to 77% to 78% this year, as we added additional datasets and increased our data mode, and then leveraged that as we grew and accelerated our revenue. I think that's the same thing you will see here. In terms of the impact of App Annie, the App Annie deal, all of that is baked into the guidance that we have given earlier today.
Jason Helfstein: 35:37 I guess, I'm asking like if we wanted to think about how much of the guidance is App Annie versus not App Annie? And then Or can answer the other question.
Jason Schwartz: 35:52 We are feeling very comfortable with the guidance that we've given, and are looking forward to a strong.
Jason Helfstein: 36:05 Okay. All right. And then just any more color on like the length of the deal, the terms, do the terms get more favorable over time if you sell more of it and then why not do, why partner not acquire?
Or Offer: 36:24 And so I would try here to talk carefully because we have an agreement here with App Annie that I'm not 100% sure what we can disclose or not disclose but the term is that it's a fixed price and that we pay. So this is a great notion and we have a really great relationship with the App Annie management and highly respect and we're very excited that we're able to put in place this partnership together and strengthen the relationship and staff working together and time will tell.
Jason Helfstein: 37:05 Okay. Thanks. I had to try.
Operator: 37:10 Thank you. The next question comes from the line of Pat Walravens with JMP Securities. Please go ahead.
Pat Walravens: 37:21 Great. Thank you, and congrats on the 51% growth you, guys. So, first of all, and Jason, I emailed you about this during the quarter, but when I was using the product, which we do, in January, there was a message that popped up and said, we're having issues with the app analysis section that began in January and we expect to have it resolved sometime in February. Can you talk about what that was and was that related to the App Annie data?
Or Offer: 37:53 Yeah. I will talk about it. So first, what happened is that, it was a bug e-mail, R&D team, one of them deployed a code on Friday night that will create a bug and then cause a little bit of mess and just took them time to recover, they discovered after two day's and then until they fixed it, so this is what around that, just very stupid mistake here. And that's, best thing there is nothing to do with the App Annie deal as you can probably think that this conversation relationship with App Annie has been going on for many, many months and this dialog, so there is nothing -- there is no relation between those two.
Pat Walravens: 38:44 Okay. Great. And then, Jason, can you may be, if you look at the operating income or really operating loss guidance versus the Street, for 2022, it's a $35 million delta. Can you bucket that for us, a third this, a third that or half this, half that just roughly, how does that $35 million breakdown?
Jason Schwartz: 39:10 Yeah. It's the -- the bulk of that is what you will see in both our R&D and our sales and marketing, which is really focused on the -- making the investments in order to, like I said to really focus on growing the business. The thing that we've seen, we had the conviction when we started 2021 that we had hit an inflection point that the business was solid, remember at the end of 2020, we're effectively a cash flow breakeven business. We know how to manage a business that's cash flow breakeven. But what we saw in front of us with this big TAM, and this big opportunity and what we are seeing today is strong unit economics and the efficient land and expand model, which we are seeing, it's ultimately in not only revenue growth, but the strong NRR. And that's the proof putting to us that our conviction was right. 40:16 And therefore, we are continuing to invest in order to grab the TAM that we see ahead of us. And like I would tell you is that we know where we're going. So, you'll see the breakdown and we could take offline and go through each line, but it's mostly focused on and headcount and marketing activities to continue to grab that TAM. And, on the flip side, on the R&D and building up the data modes, it's the kinds of things to strengthening our product set that is the exact factor that drives that higher NRR having more products and solutions to sell into our existing installed base as well.
Pat Walravens: 40:58 Okay. And then I know you mentioned, but can you just remind me what the FX, I mean, it's, the shekel is super strong right, that's the issue, so, how that $35 million –
Jason Schwartz: 41:06 Right. Yeah, exactly, we said about $10 million of that is in FX.
Pat Walravens: 41:13 So a third, well, almost a third of it is just FX. Okay, all right.
Jason Schwartz: 41:19 Exactly, in the absence of the FX change, in the absence of an FX change, this would be an even stronger guidance, as you pointed out.
Pat Walravens: 41:33 Okay. Thank you.
Jason Schwartz: 41:37 Good.
Operator: 41:39 Thank you. The next question comes from the line of Ryan MacWilliams with Barclays. Please go ahead.
Ryan MacWilliams: 41:48 Thanks for taking the questions and I am pleased to hear about the opportunity ahead for Similarweb. Or, how can Similarweb benefit from Amazon retiring alexa.com in May? Do you view this primarily as a source of new logo growth or do you think this could be a meaningful revenue opportunity? Thanks.
Or Offer: 42:08 I think it's, it's a great thing for Similarweb specifically in two elements. One from traffic and awareness, and alexa.com which was website owned by Amazon was a big source for ranking digital assets and it was attracting, I think this website is attracting till today a few million visitors that would need to find a new home to get this ranking and statistic and they will come to us, so we would be the only place to give this data. So this is, one is a lot of, tough awareness traffic that will come to us. 42:48 Second, I think there is a great amount of book of business that we'll look for a new home and new alternative. I don't know what to expect how much. I don't have the numbers but it was a decent business that's run for maybe 20, 25 years, I don't know exactly. So, I can assume we have a lot of customers that I think Similarweb is the right place to come look as an alternative. So, I think we are going to have some benefit, I don't know how much.
Ryan MacWilliams: 43:20 Perfect. And then maybe for Jason, have you -- two part question here. If you quantified what Embee Mobile met for revs for this quarter and then maybe into the guide for next year? And you mentioned targeted investments to support new products, so what does that investment look like for Shopper Intelligence to capitalize on the early momentum there? Thanks.
Jason Schwartz: 43:45 Hi. Thanks Ryan. So, the Embee standalone contribution to Q4 or 2021 revenue was not meaningful, was not material, but one of the things that as Or mentioned and we talked about when we announced the acquisition last quarter was that the data mode that that creates and the enhancement that it enables us to do on our existing, on our existing solution set is pretty, is pretty, is pretty impactful. And as Or mentioned in his remarks earlier, for example, we were able to enhance Shopper Intelligence and give now demographic data that we couldn't do before because now that we were able to leverage that, that data that we get from Embee mobile and so we're pretty excited about what that does to all of our existing products and the net retention that will drive that you'll see ongoing for the sales of the -- into the existing customer base as well as new sales to new customers as well. 44:56 And the investments -- on the investment side, like I said, we don't break down for one solution to another solution where the head count is going, but it's -- we look at Shopper Intelligence as an example as a very early days of their growth, of that product's growth and we -- for sure, we will see within the guidance that we've given today some nice contribution from that product specifically.
Ryan MacWilliams: 45:27 Thanks for the color. Thanks guys.
Jason Schwartz: 45:30 Thanks so much.
Operator: 45:35 Thank you. The next question comes from the line of Tyler Radke with Citi. Please go ahead.
Tyler Radke: 45:44 Hey. Good morning. Thanks for taking the question. Wanted to ask you just about what you saw in the quarter in terms of seasonality. I think if I look at the net new ARR contribution last year, Q4 was your biggest quarter, this year it looks like Q3 came in ahead of Q4. So anything to call out from a seasonality perspective and then would you expect with accelerated sales and marketing investments that ARR growth should accelerate next year as well? Thank you.
Jason Schwartz: 46:21 Yes, Tyler. Thanks for the question. So, yes, we're seeing, last year was an outstanding Q3, this year Q4 was great and really, really strong performance, a good end, I think it exceeded all of our expectations, both what we had guided to and I think what you guys had expected, so we're pretty proud of the results in Q4, and more importantly, they -- the momentum that we see going into this year, which is part of the guidance that we have updated and issued now for 2022. 46:59 I think that what we are already starting to see is favorable unit economics from the investments that we've already made in the sales and marketing teams that hopefully you guys are seeing in terms of the -- both the revenue growth and the net retention numbers, I think the NRR numbers are -- again are really outstanding, and what -- and the customer growth and the other metrics that we talked about, when you look all across the board, the customer lifetime value of our customer base is going up, net retention is going up, pricing is going up, number of customers are going up, number of customers we're expanding to being $100,000 customers or more are going up. That is now representing 51% of our overall revenue. When you look at that, we are feeling that we're seeing at from where we said a really strong performance and ROI on those investments that we've made and we anticipate that we are going to continue to see that as part of our investment plan.
Tyler Radke: 48:14 Thanks. And just a follow-up, I guess, as we think about your long-term guidance here in 2024, 2025 like, if you think about the investments you need to make on the data acquisition side, I mean, do you feel like with this App Annie partnership and Embee, you kind of completed the portfolio, I guess, what gives you the confidence that you can go out and make these margin kind of multi-year commitments given just the rapidly evolving landscape and obviously some of the investments that you've made recently? Thank you.
Or Offer: 48:56 And first of all, I think it's a good question. I think that from our side seeing about [indiscernible] more with Embee and App Annie partnership will fully cover everything around mobile aspect that I think we're probably not going to have a lot of more expenses down the road to increase this area. So I think around, everything data expenses, I think we're in a good place right now. So, I think talking debt into the future, I don't think we increased anymore. Jason, maybe you have anything to add there?
Jason Schwartz: 49:37 Yeah, Or. I think Tyler one other thing that you were asking was about the, like where do we get the confidence to go into these multi-year investment agreements. I think that the other thing that was a big stand out this quarter where two metrics. One is that today 33% of our ARR is now struck, contract under multi-year agreement. So it's not only cost to some degree, but it also a third of our ARR is already contracted multi-year agreements. And you see that not only in that, but you see it also in the 60% growth in the RPO. So, we have to some degree a great visibility into the revenue that we see going forward and that gave us the confidence that, that we need in order to raise the Street's expectations as to what we think Q1, as well as the full year of 2022 will look like.
Tyler Radke: 50:47 Thank you.
Operator: 50:51 Thank you. Ladies and gentlemen, we have reached the end of question-and-answer session. And I would like to turn the call back to Or Offer, Co-Founder and CEO for closing remarks. Thank you.
Or Offer: 51:05 So thank you everyone. We do appreciate for you for coming and spending the time. As I said before, we're just getting started and we are very excited going into Q1 2022 with this great momentum and have an amazing year. Thank you.
Operator: 51:28 This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.